Operator: Good morning, ladies and gentlemen and thank you for standing-by. Welcome to the Westlake Chemical Corporation Fourth Quarter 2008 Earnings Conference Call. During the presentation, all participants will be in a listen-only-mode. After the speakers' remarks, you will be invited to participate in a question-and-answer session. As a reminder, ladies and gentlemen, this conference is being recorded today, February 18, 2009. I would now like to turn the call over to today's host, Dave Hansen, Westlake's Senior Vice President of Administration. Sir, you may begin.
David R. Hansen: Thank you very much and good morning everyone. Thank you for joining us for the Westlake Chemical Corporation fourth quarter conference call. I am joined today by Albert Chao, our President and CEO and Steve Bender, our Senior Vice President and Chief Financial Officer, and other members of our management team. The agenda for today will be as follows; Albert will first make a few comments regarding Westlake's performance during the fourth quarter. Steve will then provide you with a more detailed look at our financial and operating results. Albert will conclude with the discussion of recent developments and then we'll open the call for questions. Today management is going to discuss certain topics that will contain forward-looking information that is based upon management's beliefs as well as assumptions made by and information currently available to management. These forward-looking statements suggest predictions or expectations and thus are subject to risks or uncertainties. Actual results could differ materially based upon factors including the cyclical nature of the chemical industry, availability cost and volatility of raw materials, energy and utilities, governmental regulatory actions and political unrest, global economic conditions, industry operating rates, the supply demand balance for Westlake's products, competitive products and pricing pressures, access to capital markets, technological developments, and other risk factors. Westlake issued earlier this morning, a press release with details of our quarterly financial and operating results. This document is available in the Press Release section of our webpage at www.westlake.com. A replay of today's call will be available beginning one hour after completion of this call, until 1 PM Eastern Time on February 25, 2009. The replay may be accessed by dialing the following numbers; domestic callers should dial 1-888-286-8010; international callers may access the replay at 617-801-6888. The access code for both numbers is 21627930. Please note that information reported on this call speaks only as of today, February 18, 2009 and therefore you are advised that time sensitive information may no longer be accurate as of the time of any replay. I will finally advise you that this conference call is being broadcast live through an internet webcast system that can be accessed on our webpage at www.westlake.com. Now, I'd like to turn the call over to Albert Chao. Albert?
Albert Chao: Thank you, Dave. Good morning ladies and gentlemen, and thank you for joining us. The fourth quarter was characterized by two major factors; falling product prices which were laid down by falling energy and feedstock costs and low operating rates that came about as a result of poor economic conditions and a turmoil in the financial sector. In this morning's press release, we reported a fourth quarter loss of $1.68 per diluted share as compared to earnings of $0.29 per diluted share in the fourth quarter of 2007 and $0.42 per diluted share in third quarter of 2008. Sales for the quarter was $597 million, which were down due to rapidly falling product prices and lower sales volumes. Energy and feedstock costs fell dramatically during the fourth quarter reflecting the weak global economic conditions which in turn resulted in falling prices for polyethylene and PVC resin and pipe. The operating loss in the fourth quarter was due to falling sales prices and significantly lower volumes with very high feedstock costs, low in to cost of sales as result of utilization of FIFO inventory accounting. In addition, due to the poor economic conditions and falling prices, customers destocked inventories and we reduced the production to match the lower orders in effort to manage our inventories. We estimate that the fourth quarter was negatively impacted by $168 million on a pre-tax basis due to inventory losses and unabsorbed fixed manufacturing costs. Ethane which is one of our key ethylene feedstocks had reached as high as $1.40 per gallon during the third quarter of last year. We're selling in a range of $0.80 per gallon at the end of the third quarter of last year and during the fourth quarter of last year ethane prices fell below $0.35 per gallon and continue to be below $0.47 per gallon today. Industry polyethylene prices declined $0.41 per pound in the fourth quarter of last year and unprecedented drop in prices for one quarter. Customers buying patterns slowdown dramatically as they waited for some pricing stability to take hold. Due to the weakened demand, we idled one of our ethylene units in Lake Charles in December. Lowered operating rates at some of our derivative units, and accelerate a scheduled maintenance turn around, which was originally planned for the second quarter of 2009. The ethylene unit is expected to resume operations in the first quarter of this year. On the Vinyls side, PVC resin prices declined $0.20 per pound in the last quarter, also an unprecedented drop. PVC pipe prices follow the same pattern as PVC resin. In addition to normal seasonal slowdowns for PVC resin and pipe, customers further slowed buying patterns to manage their inventories in the phase of falling prices. PVC resin and pipe margins continue to be negatively impacted by the ongoing weakness in the construction market and instability in a credit and financial market. Caustic pricing which has been very strong all year, last year; remained high, however they finally see some reduction late in the fourth quarter due to the extremely weak economic conditions at that time. In spite of these poor operating conditions we experienced in the fourth quarter, our cash flow for the quarter was strong and we are well positioned financially which Steve will discuss to in more detail later. We do expect to see some demand improvement in the first quarter of 2009 with a very low inventories in our industry. We have announced price increases for the first quarter in both the Olefins and Vinyls segments. With this being said, we're still not running our business at capacity rates and are taking prudent actions accordingly. Now I will like to turn the call over to Steve for review of our fourth quarter results.
M. Steven Bender: Thank you, Albert and good morning everyone. I am going to review the 2008 consolidated results in a moment. But there are three things I will like you to take way from our discussion this morning. First, the financial results were very disappointing and reflected demand deterioration in global markets and the turmoil in the financial sector. Second, we have good cash flows in our business and a strong balance sheet with no debt maturities until 20/16 and no borrowings under our credit facility. Third, we have taken and we'll continue to take actions to reduce our costs during this economic downturn. And we continue to peruse our long term strategies. With that framework in mind, I'll begin by looking back at 2008. In the first half of 2008, we experienced a significant run up in energy and feedstock cost and just as raw material cost begun to decline as we started the third quarter. The Gulf Coast was struck with two hurricanes which disrupted much of North American capacity. The second half of the year saw financial markets unravel and unprecedented destocking by customers that carry through to the end of 2008. This is reflected in the financial results we reported in the fourth quarter. Now, let me review our consolidated results. We reported an operating loss of $166 million on sales of $597 million in the fourth quarter of 2008 as compared to operating income of $49 million on sales of 1.1 billion in the third quarter of 2008. As Albert mentioned earlier, the fourth quarter operating loss was negatively impacted by approximately $168 million resulting from inventory losses and the expensing of unabsorbed fixed manufacturing cost. The inventory loss was the result of using the FIFO inventory method of accounting. Selling, general and administrative expenses increased in the fourth quarter primarily due to a $9 million increase in the allowance for doubtful accounts, which was directly related to the economic conditions currently. Our reported net loss in the fourth quarter of 2008 was $110 million or $1.68 per diluted share compared to net income of $27 million or $0.42 per diluted share in the third quarter of 2008. As previously reported, the third quarter 2008 operating income was negatively impacted by outages caused by Hurricanes Gustavo and Ike by approximately $20 million or $0.20 per diluted share. Now let's look at the full year results. The operating loss for 2008 was $30 million on sales of $3.7 billion as compared to operating income of $175 million on sales of $3.2 billion in the prior year. Net loss for 2008 was $30 million or $0.45 per diluted share as compared to net income of $115 million or $1.76 per diluted share in 2007. Our losses for the year were all attributable to the inventory losses sustained in the fourth quarter. Selling, general and administrative expenses increased over the prior year due to an $11 million increase in the allowance for doubtful accounts, which was partially offset by the Longview transition cost and a decrease in legal fees. Interest expense increased year-over-year due to the issuance of our $250 million tax-exempt bonds in December of 2007. Westlake continues to be well positioned financially in spite of these challenging times. In September 2008, we upsized our revolving credit facility increasing commitments under the long-term credit facility from $300 million to $400 million and extended the maturity to 2013. Currently the revolver is un-drawn and we have approximately $225 million in cash, which includes the remaining $134 million in proceeds from the tax-exempt bonds, which will be used to fund maintenance and other capital projects in Louisiana. With the reduction of raw materials cost and reduced selling prices our working capital requirements have been greatly reduced. Our working capital, excluding cash, decreased $197 million during the fourth quarter. So, as you can see the company has good liquidity and the necessary financial flexibility for the foreseeable future. Now, turning to capital expenditures and our balance sheet, I'll highlight of few key items. Capital spending for the year totaled $173 million and in addition we incurred $16 million in capitalized turnaround cost at our styrene facility. At the end of the year our long-term debt was $510 million. Westlake has no debt maturities until 2016 and no borrowings under the revolver. Our net debts total capitalization ratio still remains low at 19%. So, expect us to maintain our focus on generating cash pushing productivity throughout 2009 just as we did in 2008. Protecting the balance sheet and maintaining our financial flexibility will continue to be key objectives for us in 2009. Now, let me turn to our Olefins segment. We reported an operating loss of a $136 million on sales of $396 million during the fourth quarter as compared to operating income of $18 million on sales of 725 million reported in the third quarter 2008. The operating loss in the fourth quarter was due to falling sales prices and significantly lower volumes with very high feedstock cost flowing through cost of sales, as a result of utilization of FIFO inventory accounting. Polyethylene prices fell by $0.41 per pound during the quarter and most of the olefins facilities operated at reduced rates with one of the ethylene in its undergoing and turnaround that started in December. Operating income in the third quarter 2008 was negatively impacted by outages caused by Hurricanes Gustav and Ike, and lower polyethylene sales volumes. Sales volumes had already begun to decline in the third quarter in response to following feedstock cost and weakening economic conditions in addition to the impacts from the hurricanes. For the full year, our Olefins segment reported an operating loss of $40 million on sales of $2.5 billion as compared to operating income of a $153 million on sales of $2.2 billion reported in 2007. This decrease was primarily due to the inventory losses sustained in the fourth quarter of 2008. In addition, 2008 earnings were negatively impacted by approximately $20 million due to the outages caused by the hurricanes and trading losses of $9 million as compared to a trading loss of $1 million in 2007. Through the first half of 2008, the Olefins segment benefited from strong demand due to a strong export market and balanced industry supply and demand fundamentals. The 2008 full year results included the impact of the styrene turnaround and revamp project and that to stop the 2007 results include the impact of the turnaround of one of our ethylene units in Lake Charles. Now let me turn to the Vinyls segment. Our vinyls segment reported an operating loss of $28 million on sales of $201 million during the fourth quarter as compared to operating income of $30 million on sales of $349 million reported in the third quarter 2008. The operating loss was primarily due to sharply reduced product prices with high feedstock costs flowing through cost of sales resulting from our use of FIFO inventory accounting. Industry PVC prices fell by $0.20 per pound during the quarter and PVC pipe prices followed this trend. In addition most of our vinyls facilities reduced operating rates during the fourth quarter to manage inventories. Caustic profitability remained strong in spite of a reduction in price late in the fourth quarter. For full year, our Vinyls segment reported operating income of $18 million on sales of $1.1 billion as compared to operating income of $30 million on sales of $1 billion reported in 2007. This decrease year-over-year is primarily a result of inventory losses in the fourth quarter. Even though caustic prices were higher in 2008 as compared to 2007, they were offset by lower PVC pipe sales volumes and margins. The Vinyls business continues to be negatively impacted by the ongoing weak economic condition and instability in the credit and financial markets. We have taken a range of actions to reduce our cost and we are continuing in these efforts, so that we can maintain our competitiveness and pursue our long-term strategies. Now I'd like to turn the call back over Albert. Albert?
Albert Chao: Thanks Steve. First let me provide an update on the status of a number of our strategic initiatives. And then I'll discuss the outlook for industry. Our chlor-alkali expansion in Calvert City was completed in the fourth quarter and has added 50,000 ECU tons of annual capacity. Our PVC resin plant expansion also in Calvert City was completed in the first quarter of this year, increasing capacity by 300 million pounds per year. In addition, we have completed our first our new PVC pipeline in Yucca, Arizona this quarter which will produce pipe for water, sewer, irrigation and related industrial and residential markets into Western United States, a region which we have not actively participated in the past. Our Geismar chlor-alkali project is continuing. Now I want to talk about the status of our turnaround. The plant maintenance turnaround at one of the ethylene units in Lake Charles is currently underway and is expected to be completed in this quarter. In addition to the maintenance work several energy saving capital projects underway at the facility. No other major maintenance turnarounds are scheduled for 2009. Finally, let's talk about the outlook for industry. The vinyls industry continues to be negatively impacted by weak consumption compounded by the financial and the credit crisis and the general health of the economic. In spite all these weak economic conditions our Vinyl's segment reported positive operating income through 2008 in part due to the strength of our caustic profitability which is now benefiting from the expansion completed in the fourth quarter of last year. We're seeing some signs of improvement in January after dismal fourth quarter. The industry has announced a PVC resin price increase of $0.05 per pound on February 1st and we're hopeful that customers will begin restocking inventories. Some elements of the new government stimulus package are aimed directly at infrastructure, housing and energy efficiency. So, we remain guardedly (ph) optimistic about the outlook for the latter part of 2009 and beyond. As to Olefins, as we have discussed polyethylene sales volume slowed to very low levels in the fourth quarter, as customers destocked inventories leading for some pricing stability. Currently energy and feedstock costs appeared to have leveled off and we expect to see some increases in demand of our olefins products. As inventory levels slow the change replenish. The industry currently had several price increases announced; $0.07 per pound for January 1st, $0.05 per pound for February 1st, and an additional of $0.06 per pound for March 1st. The $0.07 increase has being implemented, which is an encouraging sign. A significant portion of our polyethylene is sold into food packaging and other consumer non-durable markets. And the underlying volume in those segments tends to be more resilient. We believe the possibility exist for restocking to begin going forward. However, we are prepared for difficult economic conditions to persist throughout 2009. Currently U.S. gas based ethylene producers have a cost advantage over naphtha based ethylene producers around the world, which should open up export markets as it did in the first half of 2008, and set a reasonable floor price for polyethylene. In spite these positive signs, it is unclear how severe and for how long this global recession will impact the U.S. economy and our business. In response to these uncertain market conditions, I want to show you again that we are taking steps to preserve our financial flexibility. We've taken a rigorous study of our cost structure. We'll be objective of reducing any unnecessary spending both at the operational and at our sales, general and administrative expenses levels and have curtailed our planned capital expenditures. The capital spending for 2009, is now expected to be approximately a 100 to $150 million including a portion of our chlor-alkali expansion project. We have a track record of strong financial discipline and are committed to maintaining financial flexibility and position ourselves to expand our business as opportunities present themselves during these challenging times. Thank you very much. Now let me turn it back over to Dave Hansen.
David R. Hansen: Thank you, Albert. Before we begin taking questions, I would like to remind you that a replay of this teleconference will be available starting an hour after we conclude the call. We'll provide that number again at the end of the call. Operator, we're now prepared to take questions.
Operator: (Operator Instructions). The first question comes from the line of Roger Smith of Banc of America.
Roger Smith - Bank of America: Hi, thank you very much. Just on the FIFO losses and unabsorbed plant overhead expenses in each olefin and vinyls, is it possible to break it down between the two meaning how much was FIFO and how much was unabsorbed plant overhead expense for each of those two segments?
M. Steven Bender: Yes, good morning Roger.
Roger Smith - Bank of America: How are you?
M. Steven Bender: I am fine, how are you?
Roger Smith - Bank of America: Good.
M. Steven Bender: Let me break it down for you; as I mentioned we had a $168 million in total and in the opens group that total was 105 broken out as $86 million of inventory related losses and $19 million of unabsorbed fixed cost and in the vinyls the total was $63 million with $41 million related to inventory losses and $22 million related to fixed cost, all totaling to $168 million.
Roger Smith - Bank of America: Great. And of that amount that was a FIFO inventory, was that also for inventory that was sold during Q4 or was any of that related to a write-down, say December 31st were inventory that has not yet been sold as of December 31st?
M. Steven Bender: No, all related to sales in the fourth quarter.
Roger Smith - Bank of America: Great. And how would you characterize North American industry caustic and chlorine demand so far into this year? And what have chlorine and caustic pricing been doing into this year say January or the first week of February?
Albert Chao: Yes. As we said the caustic price has reached I think historical high sometime in October of last year and with the slowdown in economy in the fourth quarter the demand of caustic has slowdown somewhat, and as a result that caustic price has come down little. And as reported in many industry trades that caustic demand has picked up again in the first quarter of this year, but prices or the forecast prices for caustic and chlorine to comedown somewhat this year.
Roger Smith - Bank of America: Okay. Do you share the view I mean there are some people significant sounds out there, what's your thinking that ECU, predicted caustic and ECU realizations may come down fairly hard over the course of 2009 and 2010 summer more moderate, do you have a particular view on that industry question?
Albert Chao: As the economy -- the healthy market does improve then Chlorine demand will go up, and the caustic price commensurately will come down, because of the more supply of caustic available. The reason for such a high caustic price we had last year and mainly because demand for chlorine is so much, the caustic plan production has come down a lot which limited supply of caustic to the market. And the demand for caustic has come down with the general economy and finally the caustic demand and supply kind of balances and may be on a long side, so caustic price come down somewhat. But I think ECU still very high levels and the projection by industry analysts is that to ECU come down somewhat; I don't know how severe it will come down. We don't believe it will come down severely this year.
Roger Smith - Bank of America: Great, thank you very much.
Albert Chao: Thank you.
Operator: Your next question comes from the line of Kevin McCarthy with Bank of America Securities.
Kevin McCarthy - Bank of America: Yes, good morning.
Albert Chao: Good morning.
M. Steven Bender: Good morning.
Kevin McCarthy - Bank of America: Albert, you mentioned that you expect better demand in the first quarter; what gives you confidence that will be the case and maybe you can elaborate a bit. And also comment on what kind of operating rates you're experiencing in your system for January and the first half of February versus what you saw in the fourth quarter?
Albert Chao: Sure, I think the fourth quarter especially November and December the operating rates were dismal. And the demand was very, very low and people have to cut back production, (inaudible) but there are industry numbers how much has comedown. Since then we're seeing and reporting the journals also that the demand has come back as a result we're able to pass $0.07 price increase of polyethylene. And further announcements in PVC as well as an announcement of $0.05 per pound came in February and we're seeing a portion of that sticking. So, I think back to price increase trends being effective the instant demand has improved. Now as we said, we're not running at full capacity in some of our plants because the demand is still low in comparison to running to full capacity.
Kevin McCarthy - Bank of America: Just a follow up on that, Albert some of our checks in the market had suggested that low density polyethylene was up $0.07 in January but some of the other grades such as high density were a little bit slower to take that increase. But that may take it in February. Can you comment a little bit on some of the differentiation in the marketplace that we're seeing within the polyethylene resin family?
Albert Chao: Yeah certainly A large a majority portion of our polyethylene is in LDP-low density polyethylene and the balance the linear low density. We're not actively participating in the high density market, but we're seeing the price increases in both the LDP and in linear low density.
Kevin McCarthy - Bank of America: Why do you feel that those grades are stronger than high density right now?
Albert Chao: Partially it's the linear low density, a low density those primarily into the consumer non-durable. The food packaging we've mentioned, where a high density can go into consumer more durables whether it's a tubs or paint buckets or pipes in those areas. And maybe there are also more capacity coming up from the Middle East, which are more high density and somewhat linear low. And their low amounts LDPE capacity is coming up in the Middle East.
Kevin McCarthy - Bank of America: It is helpful. A final question, if I may. If I add up the 86 million of inventory and olefins it was 41 and in vinyls it looks like you had a total of 127 there in the quarter. I know it's really in 1Q, but do you anticipate additional FIFO hits or inventory write-downs in the first quarter of 2009?
M. Steven Bender: Kevin, I did not.
Kevin McCarthy - Bank of America: Okay. Thank you very much.
M. Steven Bender: You're welcome.
Operator: Your next question comes from the line of Tarek Hamid of JP Morgan.
Tarek Hamid - JP Morgan: Good morning.
Albert Chao: Good morning.
Tarek Hamid - JP Morgan: Can you talk a little bit about how we should be thinking about the fix cost absorption going forward obviously a big hit in the fourth quarter. But what should we be thinking about for 1Q '09 and what sort of visibility you have on the rest of 2009?
Albert Chao: Certainly as we go forward into the year, we're going to be certainly focused at operating as best as we can. But we don't really give a whole lot of guidance in terms of the in terms of operating rates per say specific to Westlake or associated costs. But I think at this stage, it's a little bit treacherous to do a whole about of forecasting with that degree of granularity.
Tarek Hamid - JP Morgan: Yeah, I mean just sort of directionally would you expect that to be a little bit better in the first quarter or do you expect to be consistent with fair or less in the fourth quarter?
Albert Chao: Yes, certainly in the fourth quarter operating rates very, very low. And so you wouldn't expect to see those kinds of magnitude numbers if we see the directionally the kind of rates we're seeing certainly for the first month or so January.
Tarek Hamid - JP Morgan: Okay. And as a sort of bigger picture; you guys have a much better balance sheet than most of your competitors in the industry right now? Can you talk a little bit about you stomach for sort of acquisitions and joint ventures at this part of the cycle?
Albert Chao: Certainly we always are opportunistic and kind of how we look at things and you're quite right. We do want to maintain a good and strong balance sheet and as you pointed out we have one today. And believe that certainly as opportunities arise we have certainly the financial flexibility to look at certain things.
Tarek Hamid - JP Morgan: Okay. Just sort of targets, would you sort of expect something on the olefin side or the vinyls side if couldn't sort of imagine hypothetically what would happened?
Albert Chao: Well I think there will be opportunities in both. And I am not trying to dodge the issue, there will be opportunities on both sides.
Tarek Hamid - JP Morgan: Okay. Thank you very much.
Operator: Your next question comes from line of Kali Ramachandran of State Street Global Advisors.
Kali Ramachandran - State Street Global Advisors: Hi, thank you. A quick question, does the revolver have any covenants and if so what are they in 2009 and at 2010?
M. Steven Bender: The revolver doesn't -- does not have any covenants that are kind of maintenance oriented in terms of is availability to us to make use of the revolver. You might have noticed that we did file in 8-K that amended for the life of the revolver our ability to paid dividends and make acquisition and those are the kinds of covenants that we have. And again, the banks given the amount of liquidity that we have been very flexible with us, and so availability covenants there are none.
Kali Ramachandran - State Street Global Advisors: Okay. Thank you.
Operator: (Operator Instructions). Your next question comes from line of Mike Judd of Greenwich Consultants.
Michael Judd - Greenwich Consultants: Yes, good morning.
Albert Chao: Good morning.
M. Steven Bender: Good morning.
Michael Judd - Greenwich Consultants: If reported into this question and in previous call I apologize for this but I do believe that you guys were planning on at some point adding some capacity in the Caribbean. Where are we with that project or its just kind of given the overall global economy is that on hold indefinitely?
Albert Chao: Yes, it is we have stopped working on the project in pending resolution on several issues with the project including the high conversion cost which is experienced in the past.
Michael Judd - Greenwich Consultants: Okay. And then, operationally I guess in February now, so we're in February 20th, I am just wondering was there any directional or is there been any directional pick up or decline in business in February versus January. I realize it was getting kind of granular here but I think that in last week or so it looks like that some of the demand has sort of slowed down, I guess we saw spot prices for ethylene come off a little at the end of last week. Certainly it makes sense that after what happened in December is that there would be some pick up in demand in January; but the question is really is if that beginning to sort of petted out in the latter part of February?
Albert Chao: Well certainly the economy and demand have improved in this quarter over the fourth quarter. We mentioned the fourth quarter was very little (ph). I think the spot price specifically of ethylene jumps up and down fair amount. They were impacted not by only demand really by amount of the plants which were shutdown during the fourth quarter coming up. As more ethylene come up it will have an impact on spot price for ethylene, but it is in the demand, it's coming down.
Michael Judd - Greenwich Consultants: Okay. So basically, if I can understand your comments, so it sounds like February was as good as January?
Albert Chao: I think things are somewhat improving in the marketplace for the people are replenishing inventories on very low levels at the end of last year.
Michael Judd - Greenwich Consultants: Thanks for the help.
Albert Chao: You're welcome.
Operator: At this time the Q&A session has now ended. I would now like turn the call back over to Mr. Dave Hansen.
David Hansen: Well, thank you very much. We appreciate your participation in today's call. And we hope you will join us again for our next conference call to discuss our first quarter 2009 results.
Operator: Thank you for participating in today's Westlake Chemical Corporation fourth quarter earnings conference call. As a reminder, this call will be available for replay beginning in hour after the call has ended. And it will be accessed until 1:00 PM Eastern Time on Wednesday, February 25th. The replay can be accessed by calling the following numbers; domestic callers should dial 1-888-286-8010. International callers may access the replay at 617-801-6888. The access code of both numbers is 21627930. Thank you for your participation in today's call. You may now disconnect. Have a great day.